Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Burcon NutraScience Corporation Fiscal 2026 Third Quarter Conference Call. Joining us today are Kip Underwood, Burcon's Chief Executive Officer; and Alex Varty, the company's Interim Chief Financial Officer. [Operator Instructions] Then before we conclude today's call, I'll provide the company's safe harbor statement with important cautions regarding the forward-looking statements made during this call. Now I would like to turn the call over to CEO of Burcon, Mr. Kip Underwood. Sir, please go ahead.
Kip Underwood: Thanks, John. Good morning, good afternoon and good evening to all on the call, and thank you for your time today and your investment in Burcon. At the conclusion of our presentation, we hope you walk away with three really important takeaways. The first is we are targeting an exciting growing market. The second is customer responses, either with their time in projects or in their purchase decision and buying our products validates both our strategy and the performance of our products. And lastly, maybe most importantly, we're on plan. Today, we will walk through that we had performance within our calendar 2025 guidance, and we will certainly affirm our calendar '26 guidance of double-digit revenue and cash flow positive by the end of calendar 2026. Our standard safe harbor statement. To walk through this discussion today, obviously, we'll go through the highlights of our fiscal Q3. We'll test on our technology platform. We'll talk about the exciting market we are targeting I just mentioned. A little update on sales, our sales growth. Our current raise, which we expect to close here in a matter of a few weeks, why we believe Burcon is really a tremendous investment opportunity and look for what is our path to profitability. At the end, we will have plenty of time for questions and closing remarks. For our fiscal Q3, the operational highlights. With sales growth, it's not just sales growth, it's the underlying multiple customers, across multiple products, across multiple food types. So diversity of growth that is all fully aligned with our strategy. We've launched scaled, optimized multiple products with our partner at our manufacturing facility. And really, through our customer project funnel, we talk a lot when customer projects take 9 to 18 months to come to fruition from a contact to converting to business. So we are always building for the future. Those projects we develop today, as you can see, over 200 customer projects, those projects we build today truly drive sales tomorrow. With that, I'll turn it over to Alex, our CFO, for the financial highlights. Alex, take it away.
Alex Varty: Thank you, Kip. Starting off, Burcon had a strong quarter, generating $740,000 of revenue in Q3, which represents a doubling of the revenues generated in Q2. At the end of calendar 2025, we generated cumulative revenues of $1.4 million, which meets our revenue guidance. Pausing on that for a moment, I want to underscore the progress made through calendar 2025. We started that calendar year without a production facility, and we're ending the calendar year meeting our revenue target and with a 100% quarter-over-quarter growth rate in revenues. Looking forward, we further expect substantial revenue growth through calendar 2026, and we have a robust customer order book for sales that support that growth. As we focus our efforts and our resources on production and on sales, we've also reduced our other spending. So in respect of research and development, we see a 44% year-over-year decrease of Q3 spend. And in general and administrative expenses, we see a 22% reduction when you compare it to fiscal Q3 in the prior year. Lastly, we've announced the offering of our convertible note of up to $6.9 million, which is supported by -- with significant participation from insiders and owners of our manufacturing partner. On December 31, we closed the first tranche of this offering, raising proceeds of $1.25 million and we expect the final tranche to close in the last week of February following the special shareholder meeting to be held on February 20, 2026. We'll speak a bit more about this offering in detail later on. I'll turn it back to Kip now to talk through our technology platform.
Kip Underwood: Thanks, Alex. Our technology platform is the foundation for our success. And this is really the foundation for our growth in our future. And what our technology platform fundamentally does is delivers purity, the highest purity we see in the marketplace today for plant proteins. And that purity leads to performance. Performance means we work with food companies to deliver better tasting products to consumers, the ones that we eventually -- you and I eventually buy the grocery to the restaurant. That technology platforms apply to multiple products. You see here the 4 we have talked about. So we have Solatein from sunflower protein from the sun, Peazazz, our pea protein, FavaPro, our fava protein and Puratein, our canola protein. These are all highly differentiated based upon that purity. And when you look at things like FavaPro and into Solatein, our sunflower protein, you're looking into really new to the world type products. What's even more exciting, we don't talk about it very much now is there is an R&D pipeline behind these of future innovations to come that will drive growth into the future. And lastly, it's important to note this technology is fully protected by an intellectual property moat to ensure we can drive growth -- protected growth not just today, but into tomorrow. At the outset, I mentioned we are targeting an exciting market, and short protein is hot. If you've watched television commercials or you have been in a grocery store, you have seen a substantial change or improvement or more products with protein positioning. And that's truly driven fundamentally by health benefits, the benefits of a higher protein diet from a strength, from a health, from a everyday life perspective. And then that growth is accelerated by those consumers who are on GLP-1 weight loss medication. Those consumers need more protein across less calories and food companies are reacting to that end consumer need. Where food companies are reacting is a bull's eye for our technology platform, our differentiation. Our differentiation is spot on with what food companies are trying to do and it's highly relevant in helping them meet those new consumers' needs. As evidence of that, we see our customers voting with their pocketbook. So significant quarter-on-quarter growth, as you can see, over 200 active customer projects. And I think it's really important to see these are -- these have great diversity. So a lot of these projects and our current sales are with more entrepreneurial cutting-edge brands. Those brands that are on the edge of the trend, their values are typically better aligned with ours. They move quickly and they make decisions quickly, think faster cash for us, very aligned. There are also some customers and brands in there that everybody in the phone here would probably recognize. Beyond the types of customers, it's types of foods. So think about a ready-to-mix powder that somebody makes it home. Think about a ready-to-drink beverage, liquid beverage that has a protein positioning, maybe 10 or 15 grams per serving. They buy nutrition bars. All of those are areas where we're working with customers where our protein differentiation is relevant. And then lastly, in plant-based foods, where companies are trying to make plant-based foods just better to attract more consumers, our technology are purity helps them deliver against the taste expectations of new consumers. So certainly, strong sales growth with our robust sales funnel, more to come, and we look forward to talking more about customers in the future. Alex mentioned the current fundraise we have going on. We expect to close this right after our shareholder meeting on February 20. And beyond the details, what we get asked a lot is why? And at its core, this is to accelerate growth. We see the customers we have today. We see the recurring sales today. As to remind everybody, sales in this industry, once you achieve a sale, it's pretty much always a recurring sale. So as a food company makes the product month-on-month, they come back and buy ingredients from us month-on-month. So we see the recurring sales growth. We look at our robust sales funnel. We see that protein is hot in the market and with our Board, we need to accelerate investment to get ahead of the sales growth. And that is what this raise is all about. So how do we build operating days sooner. How do we expand capacity sooner? How do we build to ensure as we close these customer projects and that growth comes that we are there and ready to meet, if not exceed those customers' expectations? As I mentioned, exciting market pet platform foundational delivering a highly differentiated offering to that market. We're seeing that we have customers right now. We're seeing that growth with recurring sales. And we put that together and we believe -- I believe that Burcon is an exciting investment opportunity. We're substantially derisked from where we were 9 months ago, Alex went through the progression over the last year. We can see the tremendous opportunity in front of us. And I think we're also hopefully building a track record. It's important to us that we say what we do and we do what we say. So we've laid out our guidance for calendar '25, the first time we've done that, and we're right in the middle of the range, and we are certainly affirming our guidance for 2026 double-digit revenue and cash flow positive by the end of calendar '26. Certainly believe exciting times are on the horizon for us and hope those who aren't invested in this come along with us for this ride. I mentioned our guidance for calendar '26. The two headlines here are double-digit revenue and cash flow positive and fundamentally what drives that. We are very focused on the basics of production and sales. The market is there, the demand is there, and it's on us to deliver. As we close more customer projects, these are recurring sales, they build on each other. We're targeting these types of customers where we're highly differentiated. Allows us to continue to drive good margins, always working on capacity and always working on efficiency, both to control costs, but more importantly, to move faster to stay ahead of the growth curve. With that, John, I will turn it over back to you for any questions from our audience.
Operator: [Operator Instructions] Your first question comes from the line of Dave Storms from Stonegate.
David Storms: I wanted to start with the efficiency comments that you made towards end of your prepared remarks there. Is there any more you can tell us about maybe the J curve that you're seeing? As it relates to sales and startup costs associated with bringing on new customers? And maybe if there's any shallowing of that J curve as you continue to learn?
Kip Underwood: Well, I think we're at a point in growth, what I can say is our fundamental costs don't change all that much as we grow from here forward. So we have the staff on site to drive and run the facility. We have the infrastructure to go run the business. So the growth that happens between now and the end of the year really comes with obviously increasing variable costs but really very little increase in other costs associated. So when we drive efficiencies, that's a lot of that piece. And then just the operational side, we're 9 months in. We've learned a lot. We're just better at operating by hour, by shift by day by week.
David Storms: That's great color. I appreciate it. I did also want to then turn to maybe some of the puts and takes on your stated plans for double-digit revenue growth in the year. Maybe just -- if you could help us understand a little more about how much of that might come from expansion within customers, acquiring new customers? And then maybe just any visibility. Is that a 6 months visibility you have? Is that a 3-year visibility? Anything there would be very helpful.
Kip Underwood: Sure. So thinking about the -- so first, we would -- our customer -- our sales funnel is of a size and scope that fully discounted for probably success easily drives the growth. So that's the first piece. The second piece from a growth perspective, 65%, 70% of that growth, those customers have already bought at least something from a recurring perspective And then the balance is late-stage customer work. Again, I always say when we say late stage, we've been working with these customers for 9 or 12 months right now. So we have very good line of sight of what their plans are. Therefore, we have good line of sight if they're not buying right now when they will start. And then I would say -- and they build, right? So again, these are recurring sales. So if you take a run rate for any quarter, think about that's the baseline going into the next quarter and then it goes from there. And then the last thing, you mentioned growth. The customers we are working with are all targeting and launching new products in this growing market that I've talked about. So we would also anticipate that most of them will then have success and capture that growth. So as they grow, obviously, we grow as well.
David Storms: Understood. That's incredibly helpful. And just so I'm clear on that. When you've mentioned customers targeting and launching new products, how much or is there any interplay across your entire portfolio? Or do you tend to see customers think into one form of protein? If that question makes sense.
Kip Underwood: Actually, I think what we see, which is great for us, I think traditionally, it has been one form of protein. What we're seeing in the marketplace right now is blends of proteins because each protein from each plant has a little bit different strengths. And oftentimes, when you add a pea protein to a canola protein to, let's say, a fiber protein, one plus one plus one, could be five. The strengths actually really are synergistic together. And we're seeing food companies take advantage of that which is also good for us because we are one of the few companies out there that have truly a technology platform that can be applied and is applied to multiple products. So we could become kind of a one-stop shop. You want to do a blended protein, is great. We can cover that.
David Storms: Understood. I really appreciate that. One more, if I could. Would just love to touch on any thoughts around financing needs in the balance sheet. I know you have that upsized private placement coming down the pipe. There was the release about extending your warrants. Just maybe any further comments about your comfortability with your balance sheet. And if you think there's enough there to continue the growth if you'll need to hit the markets again?
Kip Underwood: We believe once we close the raise here in a few weeks, we'll have the balance sheet to accelerate growth. So we don't have anything planned on the horizon at all. We will always, at the same time, always look for like if there's a way to grow faster, to do something fundamentally different, then we'll evaluate that. But on the current plan, we're in good shape, days.
Operator: [Operator Instructions] There are no further questions at this time on the phone lines. I will now turn the call over to Paul Lam, Director of Investor Relations and Communications for our webcast questions. Please continue.
Paul Lam: Thanks, John. We have a few questions from the webcast today. This one coming from Bruce Lazenby, Private Investor. In terms of revenue, what is the maximum the existing facility could deliver, assuming a 24/7 shifts and realistic improvements in processes and equipment?
Kip Underwood: Thanks, Bruce. What we can say is that the facility as it sits, and especially with the last 10 months of experience, has the size and the scope and the revenue to do a few things. One, delivers us well into profitability and well into a very good margin space. Two, a size and scope that is relevant not just to the customers are targeting today, those entrepreneurial, more cutting-edge brands but also highly relevant to a scale of a major food company that all of us might know top of mind. So what we can say certainly fully gets us well into profitability and well beyond the guidance of double-digit revenue in 2026.
Paul Lam: That answer actually leads us into the next question, which comes from David [ Gatan ], private investor. What is the targeted time for corporate profitability? And I know we touched on that before, but do you have any further insight into that?
Kip Underwood: Yes. I think it's good to read. So our guidance for kind of calendar '26 is double-digit revenue and cash flow positive. And fundamentally, we have certainly the capacity and the people on site with our manufacturing partner to do that. We have the combination of the order book and our sales funnel to drive the demand side. So really to get to profitability, cash flow positive in calendar '26. What we basically do is execute our plan, and that's what we intend to do.
Paul Lam: Next question comes from a private investor. Congratulations on the sales momentum. Can you give us more color on the product mix of your current sales? Are you selling more pea protein, canola protein or fava protein? And do you expect this mix to change going forward?
Kip Underwood: Thank you for the question. So at the current time, we sell more pea protein. This was certainly our ongoing strategy. Pea protein is the largest current market. As we move forward over time, let's think year 2, year 3, we believe we will see more of a growth from our sunflower protein, new to the world, highly differentiated, very exciting and more growth in our fiber protein, also more differentiated, more new to the world technology. So we start with pea protein, current largest market. That was our strategy to begin with, quicker to sales. And then as we move forward into year 2, year 3, we'll see a larger presence for sunflower protein, it's protein from the sun, that's fantastic and our FiberPro our fiber protein.
Paul Lam: Okay. Next question comes from Harry H. Congrats on the successful quarter. As a shareholder, my concern is the share price. The volume is extremely low and the stock price has stalled. Without major partnership announcements, the stock price is not expected to be close to historic highs. What are you planning to do? Do you think -- and this is part of his question as well, too. Do you think with $30 million in revenue, we could get close enough to historic highs?
Kip Underwood: Harry, thanks for the question. So what we believe and what we're being told is in the market today and even as a food technology company that what we really have to do is deliver results, right? So it's the market rewards less on hope and more on results. So we're very focused on the commercialization of technology, the proven technology and really turning that into production and sales. And we believe as we continue to say what we do, do what we say, hit our numbers, drive revenue growth, drive to profitability that the market over time will take notice. That being said, we're also always looking at how do we do a better job of getting the word out to ensure that the capital markets, the investment community is aware of us and believes what we're capable of and hopefully makes an investment decision to join us.
Paul Lam: Okay. Thank you, Kip. I think this might be the last question from the webcast. Is it reasonable to expect revenues to continue growing quarter-over-quarter from here on out? And if yes, will the growth be primarily attributed to protein sales versus contract manufacturing revenue?
Kip Underwood: Yes, it is reasonable. We have to drive quarter-on-quarter growth in sales. And we would expect the vast, vast, vast majority of that to be growth of our own products. So again, we have existing recurring sales, existing customers whose sales we expect to grow, and we have a robust sales funnel of all customers evaluating our products, our technology, and we expect that to drive 95%, if not 100% of the growth from here on out.
Paul Lam: Okay. Thank you, Kip. And that's all for questions from the webcast. John, passing it back over to you.
Operator: Thank you, everyone. That's all the time we have for questions today. At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Underwood for any closing remarks. Please go ahead.
Kip Underwood: Thanks, John. And first and foremost, thank you to our shareholders for your continued support and investment in Burcon. The confidence you place in us is not lost on us, and we take that responsibility very seriously. A special thanks to our teams, the teams on the ground, they're working their tail off. They're dedicated. They're committed to delivering the results that we've all committed to. We put the support from our shareholders together with the work effort and commitment from our team, and we believe we are well on our way to becoming a profitable food tech company, and thanks everybody again for coming along that journey with us. Back to you, John.
Operator: Before we conclude today's call, I would like to take a moment to read the company's safe harbor statement. This call contains forward-looking statements or forward-looking information within the meaning of the U.S. Private Securities Litigation Reform Act of 1995 and applicable Canadian securities legislation. Forward-looking statements or forward-looking information involve risks, uncertainties and other factors that could cause actual results, performance, prospects and opportunities to differ materially from those expressed or implied by such forward-looking statements. Forward-looking statements or forward-looking information can be identified by words such as anticipate, intend, plan, goal, project, estimate, expect, believe future likely, can, may, should, could, will, potentially, and similar references to future periods. All statements other than the statements of historical facts included during the call are forward-looking statements. There can be no assurance that such statements will prove to be accurate, and actual results and future events could differ materially from those anticipated in such statements or information. Important factors that could cause actual results to differ materially from Burcon's plans and expectations include the actual results of business negotiations, marketing activities, adverse general economic, market and business conditions regulatory changes and other risks and factors detailed herein and from time to time in the filings made by Burcon with the securities regulators and stock exchanges including in the section entitled Risk Factors in Burcon's annual information form filed with the Canadian Securities Administrators on www.sedar.com. Any forward-looking statement or information only speaks as of the date which it was made and except as may be required by applicable securities laws. Burcon disclaims any intent or obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. Although Burcon believes that the assumptions inherent in the forward-looking statements are reasonable forward-looking statements are not guarantees of future performance, and accordingly, investors should not rely on such statements. Finally, I would like to remind everyone that this call is being recorded, and the webcast will be available for replay on the company's website starting later this evening. Thank you, ladies and gentlemen, for joining us today for our presentation. You may now disconnect.